Operator: Good morning, everyone, and welcome to BBVA Argentina's 4Q '25 and Fiscal Year 2025 Results Conference Call. Today with us are Mrs. Belén Fourcade, Investor Relations Manager; Diego Cesarini, IRO; and Mrs. Carmen Morillo, CFO, who will be available for the Q&A session. This presentation and the 4Q '25 earnings release are available on BBVA's Investor Relations website, ir.bbva.com.ar, and will also be available for download in the chat. First of all, let me point out that some of the statements made during this conference call may be forward-looking statements within the meaning of the safe harbor provisions found in Section 27A of the Securities Act of 1933 under U.S. federal securities law. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information concerning these factors is contained in BBVA Argentina's annual report on Form 20-F for the fiscal year 2024 filed with the U.S. Securities and Exchange Commission. [Operator Instructions] I will now turn the call over to Mrs. Belén Fourcade. Please go ahead.
María Belén Fourcade: Good morning, and thank you all for joining us today. After a third quarter that was marked by political instability with its consequent monetary and exchange rate tensions, the results of the midterm legislative elections reaffirmed support for the government's fiscal reform and order policy. This translated into a rapid normalization of financial variables, which returned to pre-event levels. BBVA Argentina continues to consolidate its growth strategy, reflecting its commitment to being a key player in Argentina's recovery of activity. This was achieved despite a year ultimately marked by interest rate volatility in the second half and the progressive deterioration of credit quality within specific segments of the retail portfolio. In this line, on December 22, 2025, the bank secured a credit line of up to $150 million from the International Finance Corporation. These funds allow BBVA to expand its financing capacity for small- and medium-sized enterprises, thereby reaffirming its commitment to the productive sector. BBVA Argentina's non-performing loan ratio on private loans reached 4.18% as of December 2025, a figure that remains below the system average of 5.29% for the same period. The bank stands out for having consistently lower delinquency ratios than the sector average, which reflects the quality of its credit risk management and its prudent approach to portfolio origination. Before diving into numbers, it is important to mention that on December 10, 2025, the transaction through which BBVA Argentina acquired 50% of the share capital of FCA Compañía Financiera has been closed. This had a ARS 1 billion impact in the P&L and all balance sheet figures include FCA, including loans and deposits. Nonetheless, market shares expressed in this report and on this call do not include FCA as the consolidation was made as of the last day of December. Moving to Slide 2 to 5 of the webcast presentation, I will now comment on the bank's fourth quarter 2025 and 2025 fiscal year financial results. BBVA Argentina's inflation adjusted net income in 2025 was ARS 267.4 billion, decreasing 43.2% versus 2024. This implies an accumulated ROE of 7.3% and accumulated ROA of 1.1%. The year-over-year decline in results is mainly explained by the deterioration of loan loss allowances in a context of high delinquency ratios in the financial system. Also, in spite of observing a 29.4% lower net interest income as a result of lower interest rates and inflation, this should be considered in comparison to lower losses from the net monetary position, which more than offset the lower NII. It is worth noting the 36.9% increase in net fee income, thanks to a proactive approach in improvements, and also in foreign currency and gold gains, the latter explained by an increase in activity after the partial lift in FX controls on April 14, 2025. In the fourth quarter of 2025, net income was ARS 59.3 billion, increasing 44.5% quarter-over-quarter. This implied a quarterly ROE of 6.5% and a quarterly ROA of 0.9%. Quarterly results were mainly explained by higher income along with lower expenses. The increase in income is mainly due to: one, better net interest income; and two, an increase in results from write-down of assets at amortized cost and OCI. The latter due to the sale of bonds classified in the OCI model. Expenses improved mainly on the side of personnel expenses and administrative expenses. These were negatively offset by, one, loan loss allowances; two, an increase in operating expenses mainly due to turnover tax; and three, lower net fee income in the quarter. Net income from the net monetary position was 32% higher quarter-over-quarter, explained by a higher quarterly inflation. Net interest income in the quarter was ARS 758.9 billion, increasing 20.2% quarter-over-quarter. After the uncertainty surrounding the midterm elections were off, average market interest rates declined. With the liabilities repricing at a faster pace than assets, we observed the reverse effect from the one seen in the third quarter of 2025, with income from public securities and loans increasing and expenses from funding increasing, but to a much lower extent. In the year, net interest income decreased 29.4%, as mentioned before, more than offset by the lower losses on the side of the net results from the net monetary position. Loan loss allowances increased 31.3% in the quarter and 181.2% accumulated year-over-year, explained by the deterioration of non-performing loans, in particular, on the retail book, which implied higher provisioning. The effect of loan loss allowances can be observed in the evolution of the cost of risk, which reached 8.11% in the fourth quarter of 2025 and 5.54% on an annual basis. During 2025, personnel and administrative expenses decreased by 11% and 12.6%, respectively. This was achieved, thanks to the active pursuit of efficiencies during the year. During the fourth quarter of 2025, in particular, total operating expenses were ARS 537.5 billion, remaining stable quarter-over-quarter. Both the efficiency ratio as well as the fee to expenses ratio evidence the stability and the improvements that are taking place on these lines of the income statement, and we expect them to improve even further for 2026. Going on to Slide 6 and 7. Private sector loans as of the fourth quarter of 2025 totaled ARS 14.8 trillion, increasing 7.6% in real terms quarter-over-quarter and 47.6% year-over-year. In the quarter, growth was mainly driven by an increase in loans in pesos. In total currency, the products that increased the most were mostly commercial loans such as financing of projects and exports and discounted instruments. On the peso portfolio, discounted instruments, pledged loans and credit cards stood out. Pledged loans are mainly affected by the introduction of FCA into the loan book. In the case of consumer loans, prudency policies taken in a context of higher deterioration of non-performing loans were noticeable on this line with a 2.2% quarter-over-quarter decline. BBVA Argentina's consolidated market share of private sector loans reached 11.91% as of the fourth quarter of 2025, improving 64 basis points from 11.27% a year ago. As for asset quality, the NPL ratio of BBVA Argentina on private loans reached 4.18% as of December 2025. As mentioned before, BBVA is renowned for presenting delinquency ratios spread consistently below the sector average, which reflects the quality of its credit risk management and its prudent approach to portfolio origination. By the end of 2025, total gross loans and other financing over deposit ratio was 88%, above the 78% in December 2024. Participation of total loans over assets is 57%, the highest since 2020 and above the 51% recovery in 2024. As of the fourth quarter of 2025, the total NIM was 17.5%, higher than the 15.2% in the third quarter of 2025 and below the 20.2% in the fourth quarter of 2024. While the NIM in pesos increased by 277 basis points to 20.2% quarter-over-quarter, the NIM in dollars fell 91 basis points to 4.8%. In the quarter, the increase in NIM is mainly explained by a better yield on public securities and loans in pesos, while the drop in dollar NIM is explained by a higher volume and rate of interest-bearing liabilities. In the accumulated annual comparison, although the total NIM presents a considerable drop, it should be understood that this is a consequence of the rapid decrease in inflation and therefore, the level of rates and is more than offset by the lower cost of inflation adjustment. This can be seen in the adjusted NIM, which dropped from 17.30% to 13.75%. On the funding side, as of the fourth quarter of 2025, total private deposits reached ARS 16.7 trillion, increasing 3.1% quarter-over-quarter, and 29.7% year-over-year. The bank's consolidated market share of private deposits as of the fourth quarter of 2025 reached 10.04% from 8.60% a year ago. Private non-financial sector deposits in pesos, totaled ARS 10.5 trillion, a decrease of 1.4% quarter-over-quarter, explained by a decrease in time deposits and in other deposits, including interest-bearing checking accounts. This effect was partially offset by an increase in savings accounts. Private non-financial sector deposits in foreign currency expressed in pesos increased by 11.6% quarter-over-quarter. This is mainly due to an increase in savings accounts and in time deposits. In hard currency, U.S. dollar loans increased 12.7% quarter-over-quarter and 26.6% year-over-year. As of the fourth quarter of 2025, capital ratio reached 18.3%. The quarterly increase in the ratio was due to a 9.4% increase in Common Equity Tier 1, mainly impacted by the recovery in the value of government bonds at fair value through OCI. Public sector exposure, excluding Central Bank totaled ARS 3.9 trillion, implying a 15.5% exposure, below the 16.4% recorded in the third quarter of 2025 and 17.9% in the fourth quarter of 2024. For the year, the drop in exposure is mainly explained by the increase in assets led by the growth of loans over that of financial instruments. It is important to highlight that more than 90% of the National Treasury's public debt portfolio in pesos is at TAMAR floating rate. These bonds represent approximately 65% of the bank's sovereign portfolio and in the context of higher real interest rates in the second half of the year added value to the financial margin. In the quarter, the liquidity ratio reached a level of 44.2%. The liquidity ratio in local and foreign currency reached 37.7% and 55.2%, respectively. In line with our commitment of generating value for our shareholders, the bank continued the payment of dividends corresponding to the 2024 fiscal year in 10 installments, having paid 9 of the 10 installments required by the Central Bank's regulation up to the date of this report. This concludes our prepared remarks. We will now take your questions. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Tito Labarta with Goldman Sachs.
Daer Labarta: I guess my main question is really on asset quality and how that continues to evolve and what that could mean for loan growth for 2026. We kind of expected already that you're still not out of the credit cycle, but it seems provisions jumped a bit more than expected. NPLs went up a bit. I mean do you still think 1Q, 2Q should be the worst of it? Do you think that can get delayed and the credit cycle can last a bit longer? I just want to understand how comfortable you feel on credit quality stabilizing and potentially improving? And what could that mean for loan growth? You have pretty good loan growth in the quarter, but is there some risk to your ability to grow loans if credit quality does not improve?
Carmen Arroyo: Tito, good morning. Hi, everyone. This is Carmen Morillo. Thank you for your question. Related to asset quality growth and yes, we think that these are the main questions for this year. So first of all, I would like to highlight that during 2025, we have been able to gain market share in a quite solid way, this 11.91% market share that means 60 basis points increase in market share is quite solid. And in terms of credit risk, we've been under the system ratios. Having said that, we believe that first quarter will be also a tough one. But from then on, what we believe is that credit indicators should go downwards. So for us, the peak should be in the first quarter in terms of NPLs for sure, and in terms of cost of risk also. In terms of growth, maybe it's too soon to answer this question. What we believe is that depending on what the financial system growth is. And what we still believe is that we are -- so our strategy is to gain market share. So we see the credits in the system growing around 18% in real terms. So we should be growing above that. So our guidance was to grow between 25% and 30% for the 2026. And we think it's too early to change our guidance. So we would maintain these figures. So yes, around -- so to grow faster than the system. And also in terms of deposits. So we believe that our strategy is the good one in that sense. We've been growing also in deposits during 2025. We've been able to gain -- to be more -- so to have a better participation in the transactionality of our clients. And in that sense, we will be also beating the system in deposits. So I hope I could have answered your question. Thank you.
Daer Labarta: Yes. No, that's helpful, Carmen. I guess how do you think that then translates to profitability for 2026? I mean, do you think you can achieve a double-digit ROE? Can you start getting to like the low teens by the end of the year? Or does that also get delayed a bit and we could see some pressure on profitability?
Carmen Arroyo: Okay. So I think we have been very consistent in our guidance in terms of ROE. We were talking about low to mid-teens for the last quarters. It's -- as I mentioned, and all of you know, the environment is not so easy to predict. But we think it's early to change this guidance. So we are confident we will be able to achieve a better profitability than the one we have done this year, which, by the way, is much better than the systems one and other peers. So we are happy with that performance in relative terms. Of course, we have faced a lot of difficulties this year. And I think it -- so the year is a very positive one in this environment. And for next year, we hope to be above, so low to mid-teens, it's too early to say low or mid-teens, but I believe we should be achieving this goal.
Operator: Our next question comes from Brian Flores with Citi.
Brian Flores: Carmen, I wanted to maybe expand a bit on deposits because I think your market share gains were very relevant. You're above the double digit maybe for the first time in some time. So I think it's a very important point. Just wanted to see your strategy, right? Because I think given the conditions that are very tight, maybe the competition for funding intensified. So I just wanted to ask you what's your strategy here? And how do you prevent maybe a spike in the cost of funding?
Diego Cesarini: Brian, this is Diego Cesarini. I will take this question. Well, it's true. We have been growing on deposits much faster than the system. Last year, we grew 32% in real terms, while the system grew around 12%. So our gains in market share have been huge. Here, we have been working on many fronts. On one side, we have seen a recovery on retail deposits. Retail term deposits, for example, represented a couple of years ago before Milei took cover. And below -- before the 2023 presidential elections represented around 30% of our deposits in pesos. And after 1.5 years, they just represented 10%. Last year, we started to see a recovery in the investors' appetite for bringing that kind of deposits. So we put a lot of focus on trying to make them grow faster. Now they represent around 15%. We have also been very active on companies on SMEs deposits. We were out of that market a couple of years ago because we didn't need that funding. So we are back on that market. We are putting a lot of aggressive targets to our work in our commercial forces. And we have also succeeded a lot in growing very fast on SMEs deposits. And the last -- I guess, that the last leg of this strategy wholesale deposits. Institution, as you know, they still represent a huge amount of Argentinian market. And again, 2 years ago, we didn't need those deposits after we started growing, well, we were going for them again. So we are on every front. And of course, in dollar deposits, we have also been growing market share. We are also active on that market. And we still think that we have room to keep growing there.
Brian Flores: Super clear. And then a follow-up on Tito's question. Just to summarize, basically, you're envisioning growth as Carmen was saying, 25% to 30% in real terms, I don't know if you could elaborate a bit on the composition because I know you're a bit more on the commercial side in terms of the mix, right? The deposits, do you think they grow above or in line with loans? ROE, you mentioned already maybe low double digits. And then I have maybe another question on asset quality. Do you think cost of risk could be at some point, maybe at the end of 2026, closer to the end of 2024, which is closer to the 5% rather than the 7%, we are now?
Diego Cesarini: Starting with your latest questions. Yes, we think that by the end of this year, it could be reaching the 2024 levels. Of course, it will start at levels that are similar to the end of last year, as Carmen said before. And regarding the composition of our portfolio, I think that maybe in general terms, it will be similar to the one that we have right now. But of course, at the beginning of the year, probably during the first semester, we will be much more focused on big corporations because for obvious reasons, that the retail market is still not recovering. So probably consumer loans or credit card loans could suffer a little during the first part of the year and probably in the second semester, things will return to normality.
Carmen Arroyo: Yes. The point is when the situation in the retail side is safe enough to come back to credit cards and personal loans and all that. But having said that, we will be addressed -- we will be in mortgages, in pledged loans. So in the retail side, we see these products as the main ones in our strategy at the beginning of the year. Then, of course, as the situation gets better, we will be back in all products as we used to be. And in the commercial side, we are not expecting a higher deterioration, and that's why we think we will maintain, as we Diego was mentioning, in the mix we have nowadays.
Brian Flores: Super clear. And on deposits, just to clarify, do you expect to grow above or below the loan growth?
Carmen Arroyo: Below, so...
Diego Cesarini: Below what?
Carmen Arroyo: The loan growth?
Diego Cesarini: No, I guess the below loan growth...
Carmen Arroyo: Above the system.
Diego Cesarini: Yes. Above the system, probably. But below loan growth just because, well, of course, equity also grows. There are other liabilities that also grow. So we need to grow less in percentage terms in deposits than in loans. That's just mathematics. But as I said before, we still think that we have room to grow. Even if deposits were behaving not so good this year, we still have liquid. We still have bonds in excess. We have a public sector portfolio in excess of what we need to comply with reserve requirements. So we still could use some liquidity in order to keep growing.
Brian Flores: Perfect. So if I -- if we think of, let's say, a 20% real terms in deposits, that makes sense, right?
Diego Cesarini: Yes, between 15% and 20% could make sense in a scenario where we grow in loans between 25% and 30%.
Carmen Arroyo: And in both cases, gaining. So the strategy is to gain market share. So it will depend on what the system does.
Operator: Next question from Carlos Gomez-Lopez with HSBC.
Carlos Gomez-Lopez: Carmen, Diego, Belén. First, congratulations on the good result and the gains in market share, which is what you wanted to achieve and the stability of the results. So to ask a few things which are different. First, the dividend for 2025, do you expect it to be able to pay in a single or a discrete number of payments? Or will you still have these 10 different payments that you have had in 2024? And what level of payment are you thinking of doing? Second, on taxes. So when you look at the last 3 years, you've been paying about 34% on average over the last 3 years. Is that a level that you expect for the future? Or should we go back to the statutory rate around 30%? And finally, can you give us an update about when we might move away from inflation accounting? Is that 2028? Or do we have to wait longer?
Carmen Arroyo: Carlos, thank you for your words. Then related to your question. So first one was dividends. So we still don't know what -- so how are we going to be able to pay the dividend. So I don't have an answer on that question. So we believe we need to have information in the following -- yes, during March, I would say. So we will know that soon. Related to the amount, as we -- so we ended in -- so this capital ratio of 18.3%, 2025. As I mentioned, we want to grow for the next years. So we prefer to pay a small -- so we will be paying dividend, but it will be something similar to what we did last year. So to maintain a lower payout ratio and grow faster. Then your second question...
Carlos Gomez-Lopez: It was on the taxes and inflation. And by the way, what was the payout, in the end last year?
Carmen Arroyo: Sorry?
Carlos Gomez-Lopez: The payout, last year?
Diego Cesarini: Last year payout was around 25% of our 2024 net income.
Carlos Gomez-Lopez: 25%.
Diego Cesarini: That was last year dividend.
Carmen Arroyo: Yes. Then inflation. A couple of months ago, we were thinking about 2027, so by the end of 2027, to be the end of this adjustment. Now we changed a little bit our projections of inflation. So I think it would be prudent to say that 2028 should be the year to go out of this adjustment, but it will be, yes, in 2027, beginning of 2028, something like that.
Diego Cesarini: Carlos, just to add a piece of information, according to the FX regulation that is in place, we could access in theory to the official FX market to pay dividends this year.
Carmen Arroyo: Okay. And then in terms of taxes, you were asking. So I don't see a reason why they should come back to -- so other percentages. But I don't have here the information. So let me take a look on that and come back to you.
Carlos Gomez-Lopez: Sure.
Carmen Arroyo: Yes. So I believe -- so we should be at that levels but if -- so if we see something else, I will come to you.
Carlos Gomez-Lopez: So at that level, meaning the 30% statutory? Because as I said, this year, almost every quarter, you have had 34% to 41% in my numbers, maybe I'm doing something wrong.
Carmen Arroyo: No. I mean 35%. So around 35%, yes.
Carlos Gomez-Lopez: Around 35%?
Diego Cesarini: Correct. It should be around 35%.
Operator: Next question from Pedro Offenhenden with Latin Securities.
Pedro Offenhenden: I wanted to ask on cost, how should we think about personnel and administrative expenses during this year?
Carmen Arroyo: Pedro, thank you for your question. This year, meaning 2026, I believe?
Pedro Offenhenden: Yes.
Carmen Arroyo: So the improvement we've seen during this year, we believe we will be also improving in 2026. So the trend should continue, not only in terms of being quite aggressive in not growing in expenses, but also due to our better net interest margin, fees and commissions and so on. So the efficiency ratio should go downwards.
Pedro Offenhenden: Okay. Do you have a target on the efficiency ratio for the year?
Carmen Arroyo: Around 46%.
Operator: Our next question comes from Marcos Serú with Allaria. I believe you're having some technical issues. We're going to go ahead with the next person in the queue, which is Matías Cattaruzzi with Adcap.
Matías Cattaruzzi: I have a question about the -- as we have seen in the first quarter, dollar liquidity in the system is improving. And government is signaling to probably changing regulation in dollar lending to non-dollar producing clients. How do you see [indiscernible] in this field, do you intend to lend in USD to non-dollar producing clients? And which sectors do you think would be best?
Diego Cesarini: Matías, this is Diego. Well, first of all, I would like to say that in the case of BBVA, we are pretty comfortable with the amount of lending we are producing in dollars right now with the current regulation. We are growing. We have a lot of demand in our pipeline. So if you ask me, by the end of this quarter, even if we are growing a lot in deposits and other kind of dollar funding, we are -- we would really be short of liquidity. We are gaining market share in loans. And everything is being done under current regulation. So we are not in the need of a change in this regulation. Having said this, if regulation changes and opens to more sectors, of course, we have to evaluate very carefully the sectors. It's difficult to establish a general policy because we all have in mind what happened in Argentina 25 years ago where dollar lending was open for anyone. That kind of -- and hedge are very difficult to manage in case of devaluation. So this is basically our view of the situation. The regulation changes, we will analyze if there are any sectors specifically or special cases where we can relax a little our policy. But I think that the most important is that we are really lending at full with the current policy. We don't -- right now, we don't need a change in our case, we don't need a change in regulation. Besides, it's -- when you look at the loan-to-deposit ratios in foreign currency, you will see that in our case, it's around -- right now, it's around 55%, probably will be 60% in a couple of months. But then reserve requirements are really high in this currency at around 23%. We also have to keep some banknotes in our branches. We have faced -- of course, it's a public information that we have faced -- banks have faced a very sudden and deep runs on our deposits many years ago. So we still have to be very careful regarding our customers' behaviors in this kind of deposits. So we still have to keep important amounts of liquidity in dollar terms. Of course, Central Bank cannot lend dollars to banks in case of meat. So this is our approach to this subject.
Matías Cattaruzzi: Okay. And a follow-up question. What's -- do you have a guidance in net interest margin for 2026?
Diego Cesarini: We don't have a formal guidance on net interest margin, but we think that -- we like to measure this indicator in real terms, because, of course, if you compare 2024 to 2025, the net interest margin fell, but of course, because inflation fell and interest rates also decreased very sharply. But on the other side of our balance sheet, and our net income, you see that the cost of inflation also decreases a lot. So you have to see this in net terms. In general terms, we have seen that last year, we didn't lose -- we didn't lost margin. It was -- our net margins were similar to the previous year. And for next year, for 2026, we are seeing a similar situation. We are -- probably, our net interest margin will fall a little in real terms. That will be offset by growth in activity. So this is not an issue for now for the bank.
Operator: Our next question comes from Marcos Serú with Allaria.
Marcos Serú: Sorry, I was having trouble with my microphone before. I wanted to ask in first place about personnel expenses. How is -- explain the decrease in this quarter, while the headcount has increased? And then about your guidance. I wanted to know if you could share the assumptions behind that guidance about inflation, GDP growth in 2026 and effects. And the last one is, do you know about how much of the growth in loans and deposits is in pesos and in dollars?
Carmen Arroyo: Okay. Thank you, Marcos, for the questions. Related to the first one, personnel expenses. Yes, so there are some provisions we decided to return. And that's why you see this is true, that you see a different evolution between headcount and expenses. So it's a one-off. This is the short answer for that. Then related to the guidance, I think...
Diego Cesarini: Regarding inflation, we are expecting right now, our research department is expecting a 22%, regarding GDP, 3% growth, regarding FX, around 1,700. And regarding the mix in growth in loans, in pesos and dollars, we are still expecting dollar loans to grow a little above peso loans. Dollar loans right now represent around 23% of our book. Probably that will reach 25%, 27%. So dollar growth should be around 40% probably in real terms or a little more.
Marcos Serú: Okay. Just one question. So do you think that the personnel expenses charged-off this quarter can be adjusted by inflation in order to project the followings or which number could be a normalized number?
Carmen Arroyo: I'm not sure if I get your question right, Marcos, sorry.
Marcos Serú: If you think that the personnel expense charge-off, this quarter in order to project it, will it growth as inflation growths or which growth do you expect for that charge?
Carmen Arroyo: So I would say that you -- so first, efficiency ratio is going to be lower than this year. And second, the growth in expenses as a whole should be very linked to inflation. So with this couple of -- okay.
Operator: Our next question comes from Brian Flores with Citi.
Brian Flores: I just wanted to ask you because everyone, I think, not only you, but other peers have been mentioning about the potential recovery of the consumer. Just wanted to ask you, in your view, what are the catalysts here for us to see a recovery and also for them to start, as you mentioned, recovering not only in the demand of credit, but also maybe on deposits, I think that would be a great color.
Carmen Arroyo: So thank you for the question. So the short answer should be, so interest rates need to be stable and lower, that's one issue, which is important. And the other one is the micro, the stability. So macro policies are going in the right direction, and we believe that this is also in the right path, but we still need to see what happens with the companies, with the retail, with the salaries in real terms. So it's more complicated than only interest rates. So we believe something else needs to be happening in the country to go back to consumer loans.
Brian Flores: Carmen, anything on the regulatory side that you think could really help on either side, either supply or demand of credit?
Diego Cesarini: A lot of the bad regulations have already been addressed. But of course, everybody is aware that last year, Central Bank monetary policy was very restrictive. Our reserve requirements skyrocketed. So I think that what probably we will need some flexibility on that side from Central Bank in order to keep growing. And we think that, that will come with time. I think that right now, of course, the inflation has gone a little above the expected levels. But once that issue is again under track, I think that Central Bank is going to act and start to be less restricted. I think that's the main issue right now.
Operator: Our next question from Ignacio with Invertir en Bolsa.
Ignacio Sniechowski: Can you hear me?
Operator: Yes.
Ignacio Sniechowski: Okay. Carmen and Diego, well, my question was regarding reserve requirements, but Diego answered that. So it was -- if you are expecting or seeing the Central Bank lowering those that you mentioned that it will depend on the evolution of inflation. So sorry, it was already answered and...
Diego Cesarini: Yes, I can elaborate a little more. Let me tell you that in the case of reserve requirements, what Central Bank did last year, they raised, of course, these levels, but we can comply those requirements in bonds. So it doesn't represent a cost for our NIM. It's not affecting our net income, of course. But of course, we need those funds in order to keep growing in loans if there is enough demand. Besides that, we need a little more -- we are asking for a little more flexibility because last August, we had to comply with those requirements on a daily basis. That was from the operational side, it was very difficult for us. They have relaxed somewhat those daily requirements. But still, there are some minor issues that we think that should be addressed. We are asking, but that doesn't have really an impact on net income. So that's the general view on the subject.
Ignacio Sniechowski: Okay. And Diego, one more question. Do you think that wallets and fintechs that -- well, banks already won the battle of salaries and being deposits in banks. But do you think that they will eventually strike back to that -- to potentially reverse that?
Diego Cesarini: Anything can happen, but I think that the main issue is that the biggest one, Mercado Pago has already asked for a banking license. So we should guess that in any time in the future, they will get that banking license and they will be able to offer the product. So we need to be ready, our products need to be competitive and have a good user experience in order to be in a good position to keep our share. We've been growing on wallet on pay per share. We have around 15% of the total market. And we have been growing consistently through the past year. So I think that we have a good offer for our customers.
Operator: The Q&A session is over. And now I would like to pass the word back to BBVA's team for final remarks.
Carmen Arroyo: Thank you. Thank you all for attending the conference. And just to highlight that despite the challenge of the environment, we've been going through this year. We believe BBVA Argentina has proven resilience and effective management in the year. So credit growth and non-performing loans levels below the system average and a very solid position in solvency and liquidity are the key issues of our strategy, and we are committed to keep growing in the following quarters and to maintain our efficiency and generate profitability for our shareholders.
Operator: Thank you. This does conclude today's presentation. You may now disconnect, and have a nice day.